Operator: Good day, and welcome to the Stepan Company Third Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Luis Rojo, Chief Financial Officer. Please go ahead.
Luis Rojo: Good morning, and thank you for joining Stepan Company’s third quarter 2023 financial review. Before we begin, please note that information this conference call contain forward-looking statements, which are not historical facts. These statements involve risk and uncertainties that could cause actual results to differ materially, including but not limited prospects for our foreign operations, global and regional economic conditions, and factor detailing our Security and Exchange Commission filing. Whether you are joining us online or over the phone, we encourage you to review the Investor slide presentation, which we have made available at www.stepan.com under the Investors section of our website. We make these slides available at approximately the same time as when the earnings release is issued, and we hope that you find the information and perspective helpful. With that, I would like to turn the call over to Mr. Scott Behrens, our President and Chief Executive Officer.
Scott Behrens: Good morning and thank you all for joining us today to discuss our third quarter results. I plan to share highlights from our third quarter performance and will also share updates on our key strategic priorities, while Luis will provide additional details on our financial results. The company reported third quarter adjusted net income of $14.7 million. Earnings were significantly impacted by a 9% decline in sales volume versus the record prior year third quarter due to continued demand softness across most of our markets and continued inventory destocking in certain market channels. In the third quarter, Surfactant unit margins were lower versus the prior year, due to less favorable product mix, high cost raw material inventory carryover and pricing pressure in Latin America from imported products. Volumes in Latin America grew by high-single-digits, compared to the second quarter. Specialty Product unit margins were significantly lower due to high-cost inventory and pricing pressure related to increased MCT import activity. Expenses were slightly lower versus prior year due to proactive headcount and discretionary expense controls implemented earlier in the year and lower incentive-based compensation approvals. We recorded a $4.1 million after-tax restructuring reserve for the transition of employees participating in our voluntary early retirement program. We continue to make significant progress on our cash objectives, reducing our inventory levels by $55 million. Finally, we completed our low 1,4 dioxane capital investments and continued our alkoxylation project in Pasadena, which is expected to be operational in mid-year 2024. For the quarter, adjusted EBITDA was $48 million versus $85 million in the prior year quarter, primarily driven by the decline in sales volume. Adjusted EBITDA in the third quarter of 2023 was slightly higher than the second quarter of 2023 adjusted EBITDA of $46 million. Surfactant operating income was $15.4 million versus $39 million in the prior year and $15.1 million in the second quarter of 2023. The decline versus prior year was primarily due to a 7% decline in global sales volume and lower unit margins in Latin America, driven by competitive pressure from imports. Demand within the agricultural end market remained low, due to continued customer and channel inventory destocking. Polymer operating income was $21.8 million versus $31.9 million in the prior year and $16.3 million in the second quarter of 2023. The decrease versus prior year was primarily due to a 12% decline in global sales volume, driven by a 10% decline in Rigid Polyols. Unit margins for global polymers remain in line with previous year. Specialty Product operating income was $2.4 million versus a record $9.7 million in the prior year. This decrease was primarily attributable to lower sales volume and unit margins within the MCT product line due to pressure from imported products. Residual high-cost raw material inventories within our MCT business should be consumed in the fourth quarter, which should lead to better margins moving forward. During third quarter of 2023, the company paid $8.2 million in dividends to shareholders and $24.5 million during the first nine months of 2023. The company has not repurchased any company stock during the first nine months of 2023 and has $125 million remaining under the share repurchase program authorized by its Board of Directors. Yesterday, our Board of Directors declared a quarterly cash dividend on Stepan's common stock of $0.375 per share payable on December 15, 2023. This represents a 3% increase in our dividend, and Stepan has paid and increased its dividend for 56 consecutive years. Despite the challenging current macro environment and our reduced third quarter earnings, we remain confident in the strength and diversity of our business and its ability to generate cash that will allow us to continue to invest in our business and return cash to our shareholders. Luis will now share some details about our third quarter results.
Luis Rojo: Thank you, Scott. My comments will generally follow the slide presentation. Let's start with the slide four to recap the quarter. Adjusted net income was $14.7 million, or $0.64 per diluted share, versus a record $46.3 million, or $2.01 per diluted share, in the prior year. Because adjusted net income is a non-GAAP measure, we provide full reconciliations to the comparable GAAP measures. This can be found in Appendix 2 of the presentation and Table 2 of the press release. Specifically, the adjusted net income for the third quarter, exclude deferred compensation income of $2.1 million versus $1 million of income in the prior year. It also excludes business restructuring of $4.3 million of after-tax expenses. This business restructuring reserve is driven by the company's voluntary early retirement program. The deferred compensation figures represent the net income related to the company deferred compensation plan, as well as cash-settled stock appreciation rights for our employees. Because these liabilities change with the movement in the stock price, we exclude this item from operational discussion. Slide five shows the total company net income breach for the third quarter, compared to last year third quarter, and breaks down the decrease in adjusted net income. Because this is net income, the figure is not here and on an after-tax basis. We will cover each segment in more detail, but to summarize, we experienced lower operating income in all segments versus prior year. The company effective tax rate was 20.5% for the first nine months of 2023 versus 24% for the first nine months of 2022. This year-over-year decrease was primarily attributable to more favorable tax benefits derived from stock-based compensation awards exercised or distributed during the first nine months of 2023. Slide six focus on the surfactant segment results for the quarter. Operating income for surfactant was $15.4 million. The surfactant business improved slightly from the second quarter of 2023, driven by a volume increase of 2%. This volume increase was driven by double-digit volume growth in our personal care business, due to new contracted volume as part of the low 1,4 dioxane transition. Our laundry and cleaning volumes were up mid-single-digits. Our distribution, oil field, institutional cleaning and construction, and industrial solution businesses were generally flat versus the second quarter of 2023. Based on these results and customer engagements, we believe this talking has largely rolling scores in these end markets. The agricultural chemical business was down a strong double-digit versus the second quarter due to continued customer and channel destocking. This is the main driver of surfactants not generating greatest sequential operating income improvement in the third quarter. Now turning to polymers on slide seven. Operating income for polymers was $21.8 million. We continue delivering sequential growth quarter-on-quarter, driven by mid-single-digit volume growth. Volume increased 6% versus the second quarter of 2023, driven by high single-digit growth in global Rigid Polyols. This was partially offset by a 25% decline in our commodity PA business. Finally, specialty product operating income was $2.4 million, down versus the second quarter of 2023 at $3.8 million. This reduction was primarily due to order timing differences. Turning to slide eight, we continue making significant progress on our cash position. We have increased our efforts to lower working capital and reduce capital spending to adapt to the current business environment. For the third quarter, cash from operation was $70 million and free cash flow was positive at $16.4 million. During the quarter, we deployed $95 million against CapEx investments, debt payments and dividends. Finally, inventories closed at $285 million, which is already below our initial end-of-the-year goal. We're working to further reduce inventories by another $25 million in the fourth quarter. Now on slide nine and 10, as Scott will update you on our strategic priorities and capital investments.
Scott Behrens: Thanks, Luis. I will focus my comments on our cost and cash management initiatives and on the products -- progress of our major capital investments. In regard to 2023 cash expenses, we continue targeting to hold full-year cash expenses flat or down versus the prior year, despite the continued pressure from cost inflation and from our new investments in Pasadena and low 1,4 dioxane. During the third quarter, we took actions to control costs and improve cash flow, including a voluntary early retirement program for eligible employees at our Corporate Headquarters and Global Technology Center, which are both located in the Chicago area. We expect this program to deliver more than $8 million in pre-tax savings in 2024. Given the continued challenging market conditions, we are expanding our cost reduction activities, which when combined with the early retirement program are expected to deliver $50 million in pre-tax savings in 2024, centered around workforce productivity and improved operational performance across our manufacturing network. Regarding capital investments, we are continuing with our efficient and disciplined approach to capital allocation. Capital spending was $53.7 million during the quarter and $216.3 million during the first nine months of 2023. Capital spending in the fourth quarter of 2023 is expected to be in the range of $41 million to $46 million, down versus the first three quarters of 2023 as spending on the low 1,4 dioxane investments is now complete and lower remaining capital outlays are anticipated to complete the new alkoxylation facility in Pasadena. For the full-year, capital expenditures are expected to be in the range of $255 million to $260 million. We will provide more details on our capital forecast for 2024 in our February call, but generally, we expect to return to historical levels. Moving to slide 10. Construction on our new alkoxylation production facility in Pasadena, Texas, is approximately 55% complete and has surpassed 900,000 construction hours. We expect the plant to be 75% complete by year-end and to start up in mid-2024. The underlining alkoxylation business that supports the Pasadena investment continues its strong double-digit volume growth in the first nine months of the year and at very attractive unit margins. As you know, we are increasing North American capability and capacity to produce ether sulfates that meet new regulatory limits on 1,4 dioxane. The new assets in our Millsdale facility are now mechanically complete and are undergoing commissioning. New contracted low 1,4 dioxane volumes have already started shipping from the site and should grow as we advance the commissioning process to reach full installed capacity during the first quarter of 2024 and should drive additional volume growth in the future. Stepan now has the largest installed low 1,4 dioxane production capacity serving the North American merchant market, which will enable Stepan to maintain and grow our North American sulfonation business in 2024 and beyond. Looking forward, we believe the fourth quarter of 2023 will face challenges similar to those experienced during the first nine months, including continued destocking within the agricultural end market and the normal low seasonal demand for Rigid Polyols in the fourth quarter. We expect to reduce inventory levels further by year-end, and we are nearing the end of our high capital spending phase. As we look forward to 2024, we believe volumes and margins will improve due to continued recovery in Rigid Polyols demand, growth in surfactant volume driven by new contracted business, lower raw material costs, and the anticipated sequential year-on-year recovery of agricultural volumes. In closing, a combination of anticipated market recovery, the continued execution of our strategic initiatives, and the aforementioned cost reduction activities should position us to deliver earnings growth and positive free cash flow in 2024. We remain confident in our long-term growth and innovation initiatives. This concludes our prepared remarks. At this time, we would like to turn the call over for questions. Abby, please review the instructions for the question portion of today's call.
Operator: Thank you. At this time, we'll conduct the question-and-answer session. [Operator Instructions] Our first question comes from Vincent Anderson with Stifel. Your line is open.
Vincent Anderson: Thanks. Good morning, gentlemen. So…
Luis Rojo: Good morning.
Scott Behrens: Good morning, Vincent.
Vincent Anderson: Hey, good morning. So, I wanted to start just kind of picking apart the surfactant margins. I respect that you don't adjust out things like startup costs on Pasadena, but if you're willing, I would love to get an idea of the explicit impact and maybe the cadence of that as we work towards the mid-2024 startup? And then maybe just leave the back half of ‘24 for when we actually see the plant running?
Luis Rojo: Thanks, Vincent for the question. Look, let me provide first the context of what we said for this year. So we have in our cost structure this year $10 million of extra expenses between Pasadena and low 1,4 dioxane, right? This is the guidance that we have provided. If you look at 2024, Pasadena is going to start up in the mid -- in the middle of the year, but we're going to have almost 90% of the cost during the year, right? I mean, we are already hiring, we are already executing all our activities to be ready for mid-year, and we're going to see only the benefit of savings and productivity improvements in the back half of 2024. So if you look at that, it's a $7 million to $10 million extra headwind that we have in 2024. When you think about all the extra costs and only savings for insourcing and all of that in the second-half. So $7 million to $10 million is what you could model for 2024.
Vincent Anderson: Okay, all right, that's very helpful. And then, you probably don't want to give specifics on this, but I get the sense that the mix impact from agriculture this quarter was pretty severe. Is there anything just directionally you would want to add to that just under the assumption that we get some form of restocking or normalization in 2024 to reverse that out?
Scott Behrens: Yes, I think, Vincent, we shared in our materials, you know, a double-digit decline in volumes in agricultural chemicals this quarter, which did have an impact on, obviously, the recovery of the surfactants earnings in Q3. We were able to show sequential volume growth of 2% in surfactants, but the adjusted EBITDA and/or income did not benefit from the decline in agricultural volumes. So, I think that's all we'll say on the impact of ag on Q3.
Luis Rojo: And you know, Vincent, we talked publicly. I mean, we had a good Q1 in 2023. Ag was still strong in Q1, and we deliver good operating incomes in Q1 for surfactant.
Vincent Anderson: Okay. No, that's helpful. If I could shift over to Polymers. It was kind of looking to just get your thoughts on where you are with some of the opportunities in Polyols. Maybe a bit longer term, but thinking about spray foam products and then maybe any progress towards converting a former INVISTA asset to run PA. Just curious if you've been able to push those a little bit harder in this weaker demand environment or if that's something that we should return to maybe next year?
Scott Behrens: Yes. Vincent, I would say our activities with our prospective customers in spray foam continue at a very robust pace. I do think that market has been impacted by the overall market conditions, but that has not stopped our pursuit of new customer approvals, and that business and the outlook is still positive from our perspective. With regards to PA, there are no plans or intentions to put PA into the INVISTA assets. Millsdale is our PA production site, and that will remain our only PA production site going forward.
Vincent Anderson: Okay. I was -- I apologize if I was unclear. I was referring to using your Millsdale PA as a feedstock into one of the INVISTA plants. Not…
Scott Behrens: We did the integration of the business in ‘21. Vincent, so whatever raw material and operational synergies that we've gotten though were taken care of in 2021.
Vincent Anderson: Okay. All right, that is all from me. Thank you. Thank you very much.
Operator: One moment for our next question. Our next question comes from Dave Storms with Stonegate. Your line is open.
Dave Storms: Good morning.
Scott Behrens: Good morning, Dave.
Dave Storms: Good morning. Just would love to start if you could talk a little more about the $50 million in savings that you're expecting over 2024. I know you broke out that there's maybe roughly $8 million in reductions from the restructuring costs. What does that other like, $42 million look like on a ground level?
Scott Behrens: Yes. So I think as we put in our materials, we're centered around operational benefits and continuing to reduce the inefficiencies we have across our global operational network. So, you can envision everything from logistics, even procurement, inventory management, waste that's going to be the big bucket, that's going to get us to the $50 million. And we have a lot of resources that are putting those plans together. And we'll have more to report in our fourth quarter earnings call on our progress. There will be additional workforce productivity activities that we will look to engage in Q4 and also have more to report out that in our February call.
Dave Storms: Very helpful. Thank you. And then just thinking about customer acquisitions and if you're able to break it down between what you're seeing among getting new Tier 1 customers in the door versus new Tier 2 and three customers in the door, is there any updates there?
Scott Behrens: No, I think generally in our materials you know, we shared, our contracted 1,4 -- that low 1,4 dioxane volumes are starting to ramp up as we complete the investments that's going to benefit all of our customers across all tiers. And then Tier 2, Tier 3 has obviously been a big part of our growth strategy over the last two or three years. And we've been sharing in our materials, the acquisition of new customers, and that continues at a very robust pace. You know, the issue right now is the market demand. And all the destocking that's happened in 2023 is offsetting a lot of the continued positive momentum we have in new customer acquisition.
Dave Storms: That's perfect. Thank you very much. I'll jump back in queue.
Operator: One moment for our next question. Our next question comes from David Silver with CL King and Associates. Your line is open.
David Silver: Yes, hi. Thank you very much. I'll stipulate here. I did have to step away for a couple of minutes during your remarks, so I apologize if I make -- apologize in advance if I make you repeat yourself. I did want to maybe just start with the Polyols segment. And in particular, I did want to talk about -- ask you about the improvement in a couple of areas. So the per unit margins, I guess. So, sequentially -- on a sequential basis, you had higher operating income and I think, kind of, flattish or slightly better shipment volumes. And then I did pick up on the comment about improvement from China, and assuming that these products are mainly used in the construction area. You know, I was kind of scratching my head and wondering if you could provide a little color. I mean, I wasn't aware that the construction segment in China in general was especially robust now. So, just a couple comments there would be helpful. Thank you.
Scott Behrens: Yes. Good morning, David. Regarding unit margins in Polymers, so we have been reporting in the last couple of quarters, you know, we've had a significant raw material headwind. And as we continue to work through those raw material headwinds matching our pricing structure. You know, our margins, we believe, are now stabilized. And you can see the sequential volume growth between Q1 to Q2, and now Q3 -- Q2 to Q3. We do believe that the stocking has run its course and we're back on a positive trajectory towards more and more normal market demand in the Polymer space. As it relates to China, since that asset was fully commissioned three, four years ago, we've been on a diversification strategy of unused markets and applications. And I think what you're seeing is the result of our team's efforts in bringing a much broader diversification of markets and product technologies to that site.
Luis Rojo: Yes, remember, we use that site, it’s a different end market when you think about [coal] (ph) storage and all of that is not typical insulation that we do here in the U.S. or Europe. And on top of that, the team has done a fantastic job diversifying to other businesses, and using the assets in different end markets. And that is what is driving a very strong double-digit growth in Q3.
David Silver: Very good. Thank you. And I did just want to pick up on Scott's comment about destocking being largely completed, I guess on the Polymers area. But I think, if I mess that with the comments in the press, I mean, you are still pointing to inventory liquidation and destocking into the fourth quarter, I believe. And I guess that would make maybe at least four, maybe five quarters where destocking has been in effect. And you know, from a big picture perspective, should the fourth quarter be, I don't know, the bulk of having the destocking behind us. And I did notice you know, there's customer destocking and then there's your own inventory drawdowns. I was just wondering if you might be able to draw a contrast between the two? Are the customers largely through it, but maybe there's going to be a big reduction at the company level or how would you just characterize the overall progress in draining, I guess, this overall supply chain of excess product maybe built up during the pandemic and during some concerns over supply chain reliability. Thank you.
Luis Rojo: David, so what Scott was mentioning was destocking is almost done in the Polymers business. There is a pocket in the West Coast, due to rain and other activities where not all the construction activities were able to be executed. So there is a small piece there remaining, but most of the destocking in Polymers is already flushed through. What you see in Q4 in Polymers is the normal seasonality of the business, right. If you go back five, 10, 20 years, Q4 is our lowest quarter in term of demand, because of course, a lot of winter state don't execute a lot of reroofing activities during the winter. So, that's only seasonality. And then when you look at surfactants, we have -- what we are seeing is destocking is mostly done in all the cleaning personal care markets. And what is remaining is ag. We believe ag will continue, the destocking in Q4 and we will have more perspective in February, how we see Q1 and Q2.
Scott Behrens: In the ag destocking, lagged the consumer and Polymer’s destocking activities by almost two quarters.
David Silver: Exactly.
Scott Behrens: As Luis mentioned earlier, we had a record Q1 in ag in 2023, and then Q2 is when we saw the destocking start in the agriculture. So it's got probably another quarter at least to run its course.
David Silver: Okay, thank you for that. Last question, maybe for this round, I did want to ask maybe a couple of just to try to get a beat cash flow for next year, not so much this year. But if you could remind me, I mean, I do think CapEx is going to tail off quite a bit, but could you just point out where your absolute, kind of, bedrock sustainable level of CapEx, you know, spending might be thinking ahead to 2024? And then if I look at the trend in DDNA, I mean, should we continue to see a rise maybe to the $120 million level for full year 2024? Would those be kind of maybe some rough numbers to start with? That would be helpful. Thank you.
Luis Rojo: Great question, David. What I will say is that we are very proud of the free cash flow and the cash from operations that we are delivering this year, right? I mean, if you think about the first nine months of 2023, our cash from operation is up 41% versus last year. Last year was a record year in net income, right and EBITDA. This year we have redoubled our efforts on working capital and inventory and cash management. And our cash from operation is up 41% as a result of all this excellent work done by the organization, okay. We will continue that effort in 2024. It's not only the $50 million that Scott mentioned it, but it's also cash management into next year. And as you know, things like Pasadena will provide a lot of help on cash because you apply bonus depreciation and your taxes goes lower on a cash basis. So, those are the benefits that we're going to see in term of cash in 2024. And we put a footnote in the slides, I know you just got the slides a few hours ago, but we are estimating depreciation for next year between $130 million to $132 million is in the slide in the guidance that we provide is a bullet point there. So you can use that for your modeling in 2024.
David Silver: Yes, on that last point, I apologize. I literally just saw it here on slide 13. So, apologies there. All right, thank you very much. I'll go back in the queue. Great.
Operator: One moment for our next question. Our next question comes from Mike Harrison with Seaport Research Partners. Your line is open. Just make sure your line is unmuted. One moment for our next question.
Luis Rojo: Abby, can we have Mike jump back in the queue?
Operator: Yes, one moment. Our next question comes from Dave Storms with Stonegate. Your line is open.
Dave Storms: Hey [Technical Difficulty] questioned earlier that the Pasadena plant is expecting 90% of the cost for the year and not expected to be up and running until the middle of next year. Should we expect that to be running at full capacity, or should we expect there to be a couple of quarters worth of ramp up as Pasadena gets fully operational?
Luis Rojo: Yes, Dave. The latter statement is more accurate. So when we think about starting up an asset of this size, there's a lot of unit operations that have to go through commissioning, and more importantly, the product mix that we'll be putting through there, some of it is highly specialized and there's customer qualification periods, and protocols that we have to follow. So it'll be a ramp-up in the second-half of the year for sure.
Dave Storms: Okay. And that's more just based on the logistics, though. It's not a question of getting contracts in the door. The demand is there, the contracts are there. It's just the nature of the business.
Scott Behrens: Yes. starting up new assets, there's a customer qualification protocol that has to be followed to get customers to approve production from new sites.
Dave Storms: Understood. Thank you very much.
Operator: One moment for our next question. Our next question comes from Mike Harrison with Seaport Research Partners. Your line is open.
Luis Rojo: Mike, we cannot hear you.
Operator: Mike, please make sure your line is unmuted. One moment for our next question. Our next question comes from David Silver with CL King and Associates. Your line is open.
David Silver: Yes, thanks. This question would be just for Scott, and I'd just like to ask him to reflect. If you could, Scott, on your long experience in the surfactants industry and what if anything, would you call out right about now that maybe deviates from, I think, the three decades that you've been managing that business and now the whole company here? But I don't know, this is my opinion, not yours. But for a long time I would say, surfactants was not one of the more volatile or trickier subsectors within the chemical industry. And I would contrast that maybe with the past 3.5, four years, where first to me there was the very unusual demand boost from the pandemic, the issues surrounding supply chain reliability, and maybe some of your new product development and customer development efforts. But you know, as you stand here right now, you've coming off a few consecutive record years, and then this year maybe some a pullback. But as you look ahead, I mean, do you think that the next year or two are going to be a reversion to the mean, something of a catch-up for demand that might have been deferred or delayed this year? We might see a comeback over the next 12-months or something. But from your perspective, managing this business over a very long period of time, what sticks out to you as maybe the transitional points versus the secular growth points that you might care to call out?
Scott Behrens: Thanks for the question, David. Let me say that I think what not just the surfactant industry, but what the chemical industry has experienced in the last 18 months has been unprecedented in my career within the industry. To see volume reductions of 10% to 20% in a calendar year is, I think, unprecedented definitely in the surfactant market. It was really driven, in my opinion, by the supply chain constraints and the call-it hoarding of the material in 2022 as economies opened up around the world after the pandemic and the supply chain constraints caused a really strong year of demand in 2022. And we're paying the price for it this year as there's a lot of inventory reconciliation happening. You know, combine that with the fact that step-in is finishing the end of our largest historical investment cycle in CapEx over the last three years, those two things don't marry up too well together. And you can see it in our P&L right now. But the outlook and the prospects we have long term in our business and the investments we're making are absolutely the right investments to continue to grow value for our shareholders. It's just, I think, a unique point in time right now where we got caught in our historical heavy spend cycle and we've seen an unprecedented downturn driven by inflation and the impact on the consumer. You can tell the consumer is impacted with the six-plus quarters of record inflation that we've seen at least here in the U.S. so. So, that would be my thoughts right now, David.
David Silver: Very good. Thanks a lot. I appreciate it.
Operator: Thank you. One moment for our next question. [Operator Instructions] Our next question comes from [Robert Cort] (ph) with AWAM. Your line is open.
Unidentified Analyst: Thank you. Good morning, I was hoping you might be able to help me. I was interested in sort of what you guys are thinking about on your gross margin cadence and price cost. I noticed you had businesses that were up high-single mid-double-digit pricing in the first quarter, and now that's reversed, presumably because you're passing through those lower costs. And I guess, if I think about your cost structure, that might imply your raw materials are down 20% or 25% in the quarter you reported. So am I thinking about that right? And you've mentioned destocking and some slower volumes. Does that mean your purchases today are actually meaningfully better than that even? And then maybe if you could just help me out. I know you have passed through arrangements on a good amount of the portfolio, but how is that going to change the cadence of that gross margin going forward? Because I think you're in the 12%, 13% range and at times your company’s had margins that are 50% and above that. So, any help you could provide there would be great. Thank you.
Luis Rojo: Look great question, but as we have been talking in the last few quarters, there is always a lag with all these pricing and raw materials activities, right? So what we saw last year, of course, we were taking a lot of pricing, because raw materials were going up. But at the end, you had also lower raw material prices in your P&L, because you had inventory, right? So you get that benefit. In the way down, that's the lag that you see as well. I mean, we -- as you mentioned, we have pass-through contracts in our business, not in 100% of the business of course, just a portion of the surfactant business. And the rest moves with the market. But of course, with lower raw material prices, things get more competitive and we need to adjust our prices. And we have been very clear that, for example, Latin America, MCTs, the specialty product business, and a little bit in Europe, is where we have seen a lot of pricing pressure from imports, from Asia. So, there is a lag. What I will say is most of the high raw material prices are washed out. We are expecting a Q4 for Polymers and surfactants where our standards are in line with the market prices, right? And the only remaining piece that we have is in the MCT business. You are going to see it still an impact in Q4, because of fatty acid prices went down 70%. So, we are still consuming the old ones. So, and then we'll see what happens in 2024. But Q4 should be -- should be pretty clean, except the MCT business.
Unidentified Analyst: And if I could just follow-up. That's very helpful. Can you tell me beyond the fatty acids? I mean, I know you have a big, broad basket, but are there a handful of more significant raw materials for you? Or -- and I guess should we be concerned now that oil is rallying, you might have to deal with inflation again next year?
Scott Behrens: Yes. No, I think generally, other than what Luis mentioned, we feel we're in good shape now with where our raw material costs are versus related to market pricing. So I think we're going to see more stabilization going forward. Too early to tell what's going to happen with raw materials. [Multiple Speakers] volatility in the markets right now that don't give us a real clear picture.
Luis Rojo: We have proof historically that we can make money in the way up and in the way down with a respective lag. There is always a lag, but we have a business model that allow us to price also up when things are going up.
Unidentified Analyst: Got it. Thanks very much.
Operator: Thank you. That concludes the question-and-answer session. At this time, I would like to turn the call back to Scott Behrens for closing remarks.
Scott Behrens: Thank you very much for joining us on today's call. We appreciate your interest in ownership in Stepan company. And please have a great day.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.